Operator: Good day, ladies and gentlemen. Welcome to the Q4 FY 2014 Team, Inc. Earnings Conference Call. My name is Julie, and I will be your operator today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the conference. As a reminder this call is being recorded for replay purposes. Now I'd like to turn the call over to Ted Owen, President and CEO. Please go ahead, sir.
Ted W. Owen - President, Chief Executive Officer & Director: Thank you and good morning. It's my pleasure to welcome you all to the Team, Inc. web conference call to discuss recent company performance. My name is Ted Owen and I'm the President and CEO of Team. And joining me again today is Greg Boane, our Senior Vice President and Chief Financial Officer. The purpose of today's call is to discuss our recently-released financial results for the company's fourth quarter and the full fiscal year 2015. As with past calls, our primary objective is to provide investors and analysts with an enhanced understanding of our company's performance and prospects. This discussion is intended to supplement our quarterly earnings releases and our SEC filings. In a moment, Greg will begin with a review of the financial results, and I will follow with a few more remarks and observations about our performance and our outlook. But before I turn it over to Greg, I want to make some broad comments about the quarter and our recent acquisition of Qualspec that we will both elaborate on more fully in our commentaries. It was a record fourth quarter and a record year for Team, a return to our Team-like ways. Operationally, we reported adjusted earnings of $0.77 for the fourth quarter, with an operating leverage of over 20% on revenue growth of 13%. It was the sixth consecutive quarter of year-over-year growth in revenues and in earnings. For the year, we achieved our revenue and earnings targets with total revenues of $842 million and adjusted earnings of $2 per share. That's a 12% revenue growth and a 35% earnings growth on an adjusted basis. I think that's incredibly impressive performance and I couldn't be more proud of all our colleagues who delivered it. We achieved these results despite the headwinds of weaker foreign currencies versus the U.S. dollar, refinery strikes in the U.S., weak commodity prices and resulting pressures from our customers on our rates. We've also been very busy, as you know, on the acquisition front. We're a month into the largest transaction in our history, the Qualspec acquisition that we reported in early July. We're very pleased with how that's going. Qualspec adds $180 million to our revenue base, making us a $1 billion company, and making us the leading provider of NDT inspection and assessment services in our North American markets. More importantly, Qualspec brings nearly 1,000 valued colleagues into our organization, significantly enhancing our capabilities in resident refinery inspection programs. We'll talk more about how Qualspec will impact our fiscal year 2016 budget in just a few moments. So with that as an introduction, let me turn it over to Greg for a more full discussion of the financial results for the quarter and the year.
Greg L. Boane - Chief Financial Officer, Treasurer & Senior VP: Thanks Ted. Good morning. I'll open with our Safe Harbor guidance. Any forward-looking information discussed today is provided in accordance with the Private Securities Litigation Reform Act of 1995. We've made reasonable efforts to ensure that the information, assumptions and beliefs upon which this forward-looking information is based are current, reasonable and complete. However, a variety of factors could cause actual results to differ materially from those anticipated in any forward-looking information. A description of these factors is set forth in the company's SEC filings. There can be no assurance that the forward-looking information discussed today will occur or that our objectives will be achieved. We assume no obligation to publicly update or revise any forward-looking statements made today or any other forward-looking statements made by the company, whether as a result of new information, future events or otherwise. The discussions today will include certain non-GAAP financial measures. We have excluded certain non-routine items when arriving at adjusted net income, adjusted EBIT and adjusted EBITDA. Reconciliations of these adjusted financial measures are provided in our fourth quarter 2015 earnings release. As Ted stated earlier, fiscal year 2015 was a record year for Team, with revenues of $842 million, up 12% over 2014 and adjusted earnings of $2 per diluted share, up 35% over 2014. We estimate the effects of the strong U.S. dollar and related foreign currency translation impacts during 2015 resulted in decreases in annual revenues of about $16 million or about 2% of revenues, and EBIT of $1 million or $0.03 per diluted share. I'll now focus on the results for the current quarter. Revenues increased 13% to $239 million for the current quarter, compared to $211 million for the prior-year quarter. Adjusted earnings for the current quarter increased 23% to $16 million or $0.77 per diluted share, compared to $13 million or $0.63 per diluted share for the prior-year quarter. Gross margin was $76 million and improved to 32% from 31% in the prior-year quarter. Adjusted earnings before interest and taxes, or adjusted EBIT, increased to $27 million or 11% of revenues for the current quarter, compared to $20 million or 10% of revenues in last year's quarter. Operating leverage for the current quarter, which we define as the period change in EBIT divided by the period change in revenues, was 22.5%. Adjusted EBITDA increased 25% to $34 million for the current quarter, compared to $27 million for last year's quarter. Fiscal year 2015 adjusted EBITDA was $99 million, a 12% margin on annual revenues of $842 million, and increased 28% in 2015 as compared to 2014. The effective tax rate was 36% for both the current quarter and year-to-date. Now, I'll spend a few minutes discussing the non-routine items in the current quarter that we do not consider to be indicative of our normal ongoing operating activities. Non-routine items during the current quarter totaled $1.5 million before tax or $0.05 per diluted share after tax. First of all, we spent $0.5 million before tax, or $0.02 per diluted share, on acquisition expenses related to the recent acquisitions of Qualspec and DK Amans Valve service business in California. We will expense an additional $3 million in Q1 2016 as the timing of these transactions crossed over May 31 and actually closed in fiscal year 2016. Secondly, during the fourth quarter, we spent $0.6 million before tax, or $0.02 per diluted share, related to non-capitalizable ERP system implementation costs. As disclosed in the fourth quarter of 2014, once the ERP project shifts from design phase to the training, data migration and roll-out phase, non-capitalizable project costs also start to ramp up and are charged against earnings. Overall, we're approximately halfway through the project. We plan to start a phased roll-out to our U.S. branch locations in 2016, beginning with an initial pilot test in January 2016, followed by four sequential roll-outs over the course of calendar year 2016. We currently expect to be completed with the roll-out by the end of calendar year 2016. We've capitalized $15 million to-date on the project. We expect the total capital cost of the project to be around $30 million. We plan to capitalize around $12 million in fiscal year 2016. Going forward our expected run rate on ERP implementation expenses is around $825,000 per quarter during fiscal year 2016. Finally, we spent $0.4 million before tax, or $0.01 per diluted share, on legal fees for the prosecution of a patent infringement suit we filed in December 2014 related to Quest Integrity's data presentation software. I'll now wrap up with some balance sheet information. At quarter end, total debt was $78 million. However, considering the borrowings related to the Qualspec and DK Amans businesses acquired subsequent to year end, total debt has increased to around $354 million, with $154 million borrowed under the revolving facility and $200 million borrowed under a five-year term loan. Our leverage ratio or the debt-to-EBITDA ratio is slightly higher than three times, but well below the existing leverage covenant of four times. Borrowing capacity under the new facility is around $105 million. 2015 CapEx was $29 million, $10 million related to the ERP project. That completes the financial review. I'll now turn it back over to Ted.
Ted W. Owen - President, Chief Executive Officer & Director: Thanks, Greg. Now let's look in more depth at each of our business units. As you all know, we're organized into three business units, Inspection and Heat Treating or IHT, which accounts for a little more than half of our revenues; Mechanical Services, which is about 35% of our revenues; and Quest Integrity Group, which is about 10% of our revenues. First, let's talk about IHT. The IHT Group continued its growth trend by increasing revenue in the fourth quarter by $14 million, a 12% increase over the prior year. Growth was broad based across all regions and all services. For the full year, IHT revenue was up $59 million or a 14.4% increase from the prior year. Operating income hit a new record for IHT, increasing 32% over the prior year, with a 25% operating leverage. Nearly every region and service line offering saw broad-based double-digit growth. Inspection services increased 13% compared to fiscal 2014 and heat treating services increased 16% for the year. Now Mechanical Services; our Mechanical Services Group experienced an 11% increase in revenue, up $8.3 million in the fourth quarter versus the prior-year quarter. Helping fuel that growth was turnaround activities in various service line expansion initiatives. We're especially delighted to have added to our valve capabilities on the West Coast with a recent acquisition of the DK Amans business in June, which will add about $10 million annually to our revenue base. For the full year, Mechanical Services grew $25 million or 9%. Of our three business units, Mechanical Services has the highest exposure to the impact of foreign currency weakness. If the euro and Canadian dollar had had the same exchange rate as in fiscal 2014, the Mechanical Service growth rate would have been over 11% for the year. Over the past year, we talked extensively about process improvements being made in our Mechanical Services Group, upgrades to our engineering procedures and processes, and the development of technical reference cards for each of our Mechanical Service offerings that has strengthened our ability to deliver safe and reliable services. These enhancements are already paying dividends and we look forward to an outstanding year in 2016 for this business unit. Now Quest; Quest Integrity generated $6.4 million in operating income on $23.3 million in revenue for the fourth quarter, representing a 26% growth year-over-year in revenue and 96% growth year-over-year in operating income. Quest's strong 27.6% operating profit performance in the quarter was consistent with our expectations. Pipeline activity remained robust through the fourth quarter, including some material project activity in the Middle East, which came late in the quarter and has bridged over into the first quarter of fiscal 2016. For the full fiscal year 2015, Quest Integrity generated $14.7 million in operating income on $74.5 million in revenue. We were 13% ahead of prior year's revenue, but operating profit was up 59% versus the prior year, with a strong 20% operating profit margin for the year. The outstanding profit margin performance reflects a combination of attractive business mix and pricing and effective cost management. We're excited about the more diversified demand profile, both by sector and geographically that we see building in early fiscal 2016 for our core inspection and assessment solutions. As noted last quarter, Quest Integrity is also now seeing early-stage financial contributions from several new innovative technology developments related to proprietary NDT tools applied in the pipeline process and power sectors. Now let's turn our attention to fiscal 2016. Looking backward at the beginning of fiscal 2015, we acknowledged that we were not very good at guiding and instead told you what our budget was for fiscal 2015. As it turned out, we hit our revenue and adjusted earnings marks on the nose, though not precisely as planned, due primarily to the currency issues we discussed. And we achieved those results despite the headwinds throughout the year; refinery strikes, commodity price declines, rate pressures from our customers, et cetera. But even though we hit our budget targets in fiscal 2015, it doesn't mean that we feel any smarter about our ability to guide or forecast with precision. In fact, due to the Qualspec acquisition, our task is more difficult, particularly because, A, we haven't even closed the books on the first month of Qualspec yet; and B, even more importantly, the purchase price allocation between non-amortizable goodwill and amortizable intangibles will only be known after the asset valuation is completed in the first quarter. That will then drive the annual D&A expense associated with purchase accounting for the Qualspec acquisition. So rather than focus on a precise EPS budget at this point, let's start with revenue and EBITDA. Again, for us EBITDA means earnings before interest, taxes, depreciation and amortization and non-cash compensation expense. So, for fiscal 2016, we expect revenues to be $1.1 billion including 11 months of Qualspec. The last year, as Greg reported, our adjusted EBITDA was $99 million. Our adjusted EBITDA estimate for fiscal 2016 is $135 million, again including 11 months of Qualspec's trailing 12-month results as a basis. Because of uncertainty of amortization expense, and the natural integration aspects of a larger acquisition, we're unable to translate that EBITDA estimate into a precise budget for fiscal 2016 EPS at this time. We expect to have a better clarity on the EPS budget for fiscal 2016 by the time we report our first quarter results in early October. However, for planning purpose, you can expect that our budgeted EPS will be somewhere in the range of $2.45 to $2.60 per share. Also for clarity, that budget range is exclusive of non-routine charges we expect to incur over the next year, associated with the ERP implementation as well as the non-routine transaction and integration costs associated with the Qualspec acquisition. Now let me amplify some of Greg's comments about our ERP implementation by sharing a little bit about our vision for the next five years, a strategic initiative we call Team 2020. Building upon the foundations that we've laid over the past 17 years, we're turning our attention now to the next five years, an aspiration of doubling both the size of our company and shareholders' value. To be successful, Team 2020 must be more than an aspiration. It must become an integral part of all we do, and cause us to focus on human capital initiatives, innovation and technology, the sharpening of sales and marketing skills, operational and scale efficiencies, differentiation of specialized and proprietary services, and must involve, what I call, enterprise thinking, the close collaboration of all our business units toward that common growth objective. At the heart of Team 2020, there must be a highly efficient management information system that allows us to scale our business, invoice our customers quickly and accurately, and achieve efficiencies through business automation and provide better insights about our key performance indicators. That's why we're committed to the implementation of a new ERP system for Team. A project that we call Project Next, whose implementation, as Greg said, will begin during fiscal 2016. It's a major undertaking for Team, but a project we expect to be transformational for our business. Now, before turning this over to questions, I want to once again end today's call by reminding everyone about why we've been successful for a very long time. It's because of the dedication of our now nearly 6,000 colleagues responding to customer service requirements every day, all over the world. Our success depends upon outstanding service execution by all of us, all of the time. So now, to my Team colleagues including my new Qualspec colleagues; let's continue our focus on safety and quality execution and have another Team-like outstanding year. And most importantly, let's all go home each day the same way we arrived. And so with that, now let's open it up for questions from our analysts and investors.
Operator: Thank you. The first question comes from the line of Matt Duncan. Please go ahead, sir – from (sic) Stephens, Inc.
Unknown Speaker: Hey, good morning, guys, this is Will (22:28) on the call for Matt.
Ted W. Owen - President, Chief Executive Officer & Director: Hey, Will (22:29). How are you?
Unknown Speaker: Congrats on the great quarter.
Ted W. Owen - President, Chief Executive Officer & Director: Thank you.
Unknown Speaker: I wanted to start with the nice growth Quest showed in the quarter and you hit on it a little bit. Was that a function of the inherent lumpiness in the business or have things started to really accelerate there? And what kind of overall growth are you expecting in the business for fiscal year 2016?
Ted W. Owen - President, Chief Executive Officer & Director: Well, the – I think the quarter was consistent with our expectations. We always are looking for kind of overall growth of about 10% to 12%, if you will, from an organic standpoint and that's what we achieved in the quarter. It was a strong quarter from a turnaround activity standpoint as we expected it to be. And so, I think just all of our business units just had an outstanding quarter, a lot of very, very strong activity. And we expect to continue that organic growth pattern into fiscal 2016. Our kind of long-term plan and history is based on double-digit organic growth and that's what we would expect for 2016 as well.
Unknown Speaker: And on the Quest piece in particular, Ted, was that – are you still expecting about 20% growth there? I'm sorry if I didn't ask that correctly the first time.
Ted W. Owen - President, Chief Executive Officer & Director: Yes, absolutely. Quest is again – the project lead time for Quest is a little longer. There's kind of continuing evangelism, if you will, relative to the initiation of individual projects. So there's going to be a degree of lumpiness in Quest. So it's not a straight line northeast of 20% growth a quarter. But that continues to be our expectation and belief of the ability that business to continue, over time to grow at that 20% topline rate.
Unknown Speaker: Okay, great. And then one more quick one for me, on the adjusted EBITDA guidance, how much stock-based comp and ERP implementation expense are you including in that $135 million?
Ted W. Owen - President, Chief Executive Officer & Director: There's about $5 million of stock-based comp expense that is in that number, if you add it back, if you will. And we expect – the second part was the ERP? Greg, what's the ERP cost?
Greg L. Boane - Chief Financial Officer, Treasurer & Senior VP: The ERP cost, the run rate is around $825,000 a quarter, but that is not factored into that EBITDA number because we view that as non-routine and we called that out.
Unknown Speaker: Okay, great. Thanks, guys. Congrats on the quarter.
Ted W. Owen - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you for your question. We do have another question. And it comes from the line of Tahira Afzal from KeyBanc Capital Markets. Please go ahead.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: Hi, gentlemen. This is Sean. I'm on for Tahira today.
Ted W. Owen - President, Chief Executive Officer & Director: Okay, you don't really sound like Tahira.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: Congrats on a great fiscal year .
Ted W. Owen - President, Chief Executive Officer & Director: Thank you.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: My first question for you guys is just looking at your – the outlook you've given for fiscal year 2016, could you just help us characterize what type of cross-selling benefits are factored into that number with respect to Qualspec?
Ted W. Owen - President, Chief Executive Officer & Director: Sure. The short answer is really none at this point in time. Although, clearly our expectation is that we're going to achieve a significant amount of cross-selling opportunities in our kind of our internal plans that would be about probably 10% of Qualspec growth would come through cross-selling opportunities. But the plan that we've laid out from a budgetary standpoint is not dependent upon that at all. It's taking the three Team business units and applying our normal growth factors to that business, and then layering on the Qualspec run rates, if you will, without regard to any synergies whatsoever.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: Okay, awesome. And my second question is just your fall turnaround outlook and – how much of that deferred refinery work is going to come in the fall versus what will be deferred to the spring. I just would love to get your thoughts over there.
Ted W. Owen - President, Chief Executive Officer & Director: Yeah, I think as we sit here today, I would say the fall turnaround season looks like another pretty strong turnaround season for us. We've got a lot of significant project activity scheduled. I'd be a little cautious, however, as we always are at this time of year, particularly in light of kind of continued commodity price pressures, if you will. While that's generally not a direct correlation between what's happening upstream and what happens downstream. In fact, I think our performance over the last year is a clear indication that there is not a direct linkage. In fact, we've had a kind of another round of even lower commodity prices. It would not surprise me if that results in more pressure on rates from customers, though we haven't seen that yet. So I'm a little just – I'd just be a little bit cautious about the fall. While it looks, as we sit here today, to be another robust turnaround season, those kind of storm clouds on the horizon continue to be out there with respect to impact of commodity prices in particular.
Sean D. Eastman - KeyBanc Capital Markets, Inc.: All great color. Thanks very much. And congratulations again, guys.
Ted W. Owen - President, Chief Executive Officer & Director: Thanks.
Operator: Thank you for your question. We do have another question and it comes from the line of Craig Bibb, CJS Securities. Please go ahead, sir.
Craig Bibb - CJS Securities, Inc.: Hi, congratulations on being Team-like again.
Ted W. Owen - President, Chief Executive Officer & Director: Thanks. Appreciate it.
Craig Bibb - CJS Securities, Inc.: What are the integration steps with Qualspec and how should we think about the margin impact on IHT, including first quarter?
Ted W. Owen - President, Chief Executive Officer & Director: Well, I think the main integration steps, as we say, is to do no harm, right? And so we're going very, very slowly, being very careful. I mean, we bought this business because it is a great business, has a great business model, great customer relationships. And so what we're doing is, we're going to take – kind of go slow to really get to know each other very, very well. And our key mantra on both sides is to don't do anything to screw up their business and not do anything to screw up our business, if you will. So, again, this is not an integration of having to slam two business together and kind of take out a lot of cost. That's not what this is about at all. This is a two very, very complementary businesses that – whose values are very much aligned toward customer service and taking care of our technicians. And so, again, I think it's going very, very well. We're going very, very slowly in terms of just kind of making sure we get to know each other, making sure that we are focused really on customer service. So that's sort of the main thing is just to make sure that we don't upset customer relationships and that our customers know, on the Qualspec side, in particular that the same guys that are taking care of customer service yesterday are the same guys that are taking care of customer service today and tomorrow.
Craig Bibb - CJS Securities, Inc.: Okay. So and then just on a picky analyst's note, the margins at Qualspec are about the same as IHT's margins or are they going to move in one direction or another?
Ted W. Owen - President, Chief Executive Officer & Director: No, they're very similar.
Craig Bibb - CJS Securities, Inc.: Okay.
Ted W. Owen - President, Chief Executive Officer & Director: Very similar, but – particularly, again, we focus on kind of operating income line of margins and they're very similar.
Craig Bibb - CJS Securities, Inc.: Okay. And then on the corporate overhead line, the value, I assume, that's going to bump-up because you've got more scale?
Ted W. Owen - President, Chief Executive Officer & Director: Well, it'll bump-up – I don't expect it to bump-up a lot as a result of the acquisition. Again, they have a kind of a fully capable staff of kind of the HR, financial accountants, folks like that, that do a good job. And so I don't see any net increase in corporate costs associated with that acquisition.
Craig Bibb - CJS Securities, Inc.: Okay. And then just quickly on Quest, the margins were outstanding, it looks like when hope the lumpiness goes their way they can deliver the 28% kind of EBIT margin. Is that maxing out or could you give us a little more color on the margin on the quarter?
Ted W. Owen - President, Chief Executive Officer & Director: Yeah, I mean, I would say that that is an optimal margin for that business, in a quarter, again just high leverage in that business, high incremental leverage for kind of the next job opportunity, if you will. So, during those quarters when we have high growth rates, we're going to have really high operating margin and high operating leverage, resulting in high margins, if you will. And again, as you've seen over time, it can go both ways though. If projects get deferred and we don't hit our revenue targets or growth rate targets, we can struggle a little bit at the same time. Because it does have – there's some fixed cost elements to it, particularly as we are focused on the development of kind of next generation tooling, if you will.
Craig Bibb - CJS Securities, Inc.: Okay, all right. Well, thanks a lot.
Operator: Thank you for your question. We do have another question and it comes from the line of Adam Thalhimer from BB&T. Please go ahead, sir.
Adam Robert Thalhimer - BB&T Capital Markets: Hey, good morning, guys. Congrats.
Ted W. Owen - President, Chief Executive Officer & Director: Good morning, Adam. How are you?
Adam Robert Thalhimer - BB&T Capital Markets: Great. I wanted to follow up, Ted, on your commentary about the impacts of lower commodity prices. Like you said, we have seen other leg down. You said you haven't seen any pressure on rates yet. Can you just expand on that because it just seems like an odd confluence of events, right, where you have high gasoline demand, high refinery utilization, the low oil prices. I mean, have you seen this before or is this unique?
Ted W. Owen - President, Chief Executive Officer & Director: Well, again, I don't think it's necessarily unique because again what we have always said is that refining utilization, if you will, and the health of our customers and demand for our services is not a function of commodity prices. Our view is that it's never been a function of commodity prices. The price of oil is an input for our customers, not an output, if you will. And so, refining is just – I mean it's a – if anything, probably lower commodity prices have driven up utilization and margins. And so our customers are just – are very, very healthy. But again, it's not unlike – we've seen this before relative to when commodity prices do go down – it does create kind of that cautionary environment of our customers typically, cautionary spending, perhaps curtailment of capital projects, things like that. We've seen that before. But we started – we first experienced lower commodity prices in, what, the fall-spring of last year. The first result of that was kind of the supply chain 101 letters of please give us rate reductions. We weathered that, if you will, and I think came through that in pretty good stead. And so I think we're just simply now into a – there's been another step change, if you will, in lower commodity prices. Again, right at this second in time, it hasn't impacted our business or our outlook. But we certainly are cautious about it and not oblivious to it.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. And then just as my follow-up, I mean, you say it hasn't impacted the outlook but is it – but you're not baking in a lot of – there are a lot of moving pieces in that, but it doesn't look like you're baking in a lot of margin improvement in the core business for 2016. So I wonder if there's something where you've accounted for the lower commodity prices in the guidance?
Ted W. Owen - President, Chief Executive Officer & Director: Well, I hope so, is the short answer. Again, we are not banking on significant margin expansion because this is not the environment that lends itself to expansion of margins in our business. And so it's an environment of – you really got to be focused on efficiencies, kind of resource allocation and making sure that we're resource balanced, if you will, so those sort of things. So it's not – we're not really counting on any margin expansion opportunities in 2016.
Adam Robert Thalhimer - BB&T Capital Markets: What it'd take to see that?
Ted W. Owen - President, Chief Executive Officer & Director: Well, I think it would take probably kind of stability in – if you start seeing more stability, more labor contraction. I mean, again right now, you have a lot of layoffs in the upstream industries, oilfield service. That creates a little more supply, if you will, for us. And so, generally when we are in an expansionary margin environment is when labor is really, really tight. When projects, activities are – where there's lots of projects going on, tight labor markets; that then creates the environment of pricing expansion, if you will. And we're just not in that kind of environment.
Adam Robert Thalhimer - BB&T Capital Markets: Got it. Okay. Thanks so much.
Operator: Thank you for your question. The next question comes from the line of Craig Bibb of CJS Securities. Please go ahead, Craig.
Craig Bibb - CJS Securities, Inc.: Hey, Ted, just one other quick follow-up here. The first quarter is almost over. Can you give us some color on the quarter?
Ted W. Owen - President, Chief Executive Officer & Director: Well, I don't know if it's almost over or not. We're two months into it, so it's still a ways to go. We're off to a good start, I think, for the quarter, the month of June we had a lot of activity, a lot of kind of carryover activity, if you will, from the spring quarter. So we're off to a good start. Our activity levels in the summer time are, I'd say, good. And so I think we're going to be – the first quarter as you know is a – is one of our two weak quarters. And so that's not going to be any different, but I think we'll be off to a decent start.
Craig Bibb - CJS Securities, Inc.: Was any of the work that carried over the higher margin work?
Ted W. Owen - President, Chief Executive Officer & Director: Well, we had – yes, a little bit of the Quest work, as I mentioned in my remarks, you know the fourth – we had a fairly big project for Quest in the Middle East that began in late May that we benefited a bit in the May quarter. But it also carried over into the first quarter.
Craig Bibb - CJS Securities, Inc.: Okay, great. I appreciate it.
Ted W. Owen - President, Chief Executive Officer & Director: Yes.
Operator: Thank you for your question, Craig. I'd now like to turn the call over to Ted Owen for closing remarks. Please go ahead.
Ted W. Owen - President, Chief Executive Officer & Director: Okay. Well, thank you. Again I want to just thank everyone for participating in the call and for your interest in Team. And we look forward to talking to you again at the end of our first quarter, which we will report early in October. So, have a good day, everyone.
Operator: Thank you for your participation in today's conference. This concludes your presentation. You may now disconnect. Good day.